Operator: Greetings, and welcome to Joby Aviation's Third Quarter 2025 Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce your host, Teresa Thuruthiyil, Head of Investor Relations for Joby Aviation. Teresa, please go ahead.
Teresa Thuruthiyil: Thank you. Good afternoon and evening, everyone. Thank you for joining us for Joby Aviation's Third Quarter 2025 Financial Results Conference Call. I'm Teresa Thuruthiyil, Joby's Head of Investor Relations. We will begin the discussion with comments from JoeBen Bevirt, Founder and Chief Executive Officer; and Rodrigo Brumana, Chief Financial Officer. For the Q&A portion of today's call, we'll also be joined by our Executive Chairman, Paul Sciarra; and Blade CEO, Rob Wiesenthal. Please note that our discussion today will include statements regarding future events and financial performance, as well as statements of belief, expectation and intent. These forward-looking statements are based on management's current expectations and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For a more detailed discussion of these risks and uncertainties, please refer to our filings with the SEC and the safe harbor disclaimer contained in today's shareholder letter. The forward-looking statements included in this call are made only as of the date of this call, and the company does not assume any obligation to update or revise them. Also, during the call, we'll refer both to GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in our Q3 2025 shareholder letter, which you can find on our Investor Relations website, along with a replay of this call. And with all of that said, I'll now turn the call over to JoeBen.
JoeBen Bevirt: Thank you, Teresa, and thank you, everyone, for joining us today as we discuss our third quarter 2025 results. The past few months have been momentous for our team, as well as demonstrating the remarkable potential of our aircraft by flying in front of hundreds of thousands of people here at home and overseas, we've also moved the ball meaningfully down the field on certification, and we've passed one of the most important milestones in Joby's history to date. As we announced this morning, we have now begun power-on testing of the first of several aircraft we will build for TIA or Type Inspection Authorization. Entering TIA is widely understood as marking the final stage of the certification process and is a very strong indicator of a company's ability to reach Type Certification. This is the moment when our certification strategy, our intended type design and our manufacturing processes all converge into one physical asset. Let's take each of these in turn. First, our certification strategy. It might sound simple, but our certification strategy is the result of more than a decade of working alongside the FAA to develop a certification basis, the means of compliance for our aircraft, certification plans and test plans. These are the documents we've been talking about quarter after quarter in these calls, and they are absolutely required to get to TIA. Second, having a stable design is the result of years of focused engineering and testing using the same design and putting it through thousands of hours of testing on the ground and in the air. If you continue to make changes to your design, you can't enter TIA with a high degree of confidence that you'll complete it expediently. Finally, on manufacturing processes. This aircraft is one of a series that we are producing under Joby's FAA-approved quality management system. Each of the TIA aircraft, including this one, will be built with FAA-conforming components as required by our FAA-approved test plans. Each of the relevant components will be built to FAA DER or Designated Engineering Representative approved designs, and then inspected and signed off by FAA Designated Airworthiness Representative or DAR. This process adds a lot of overhead to the build processes. It's not fast or easy, but it is what's required to start TIA flight testing. Bringing all of these elements together is a huge achievement and I'm incredibly grateful to the team at Joby and at the FAA for the years of hard work that led up to this moment. We continue to plan for this aircraft to take to the skies later this year, flown by Joby pilots, clearing the way for FAA pilots to start for credit testing next year. As I mentioned earlier, having a mature and stable design is central to being able to move with certainty and pace through the certification process. And over the past quarter, we've been able to build on that maturity, demonstrating a remarkable cadence of flight testing and demonstration flights as well as continuing to fly several times a day out of Marina where we've demonstrated climbing, descending, accelerating and decelerating all at max rates. We also flew our first A to B mission, flying down to Monterey and back. A few weeks later, we participated in the California International Air Show, completing a 20-minute flight that saw us take off vertically, fly to Salinas, completed a demonstration that included multiple transitions between forward flight and hover and returned to Marina for a vertical landing. And we did all this while a separate Joby team completed 2 full weeks of regularly scheduled flights in Osaka as part of the World Expo, demonstrating the aircraft to hundreds of thousands of attendees, including the Japanese Prime Minister and the Governor of Osaka. The operational rigor and consistency we've demonstrated in completing these flights is a testament to the remarkable team we've built and the maturity of our aircraft. It is also preparation for our future commercial service. Speaking of which, it was a privilege to fly Ryder Cup fans back and forth from Manhattan to Long Island this quarter via our Blade service. 2.5-hour drives were replaced with 12-minute flights, highlighting the potential of vertical lift to a key audience suppliers. Our Blade team excels at delivering operations at scale, combined with the highest levels of customer service. This operational experience, combined with the maturity of our eVTOL platform puts us in a great position to take on the opportunity presented by the U.S. government's recently announced eIPP program. Through an executive order, the President has directed the Department of Transportation and the FAA to ensure that mature eVTOL aircraft can begin operations in select markets in the U.S. ahead of full FAA certification. We are already in advanced conversations with a wide range of state and local government entities who are submitting applications for the program, and we believe that having a TIA-ready aircraft as well as a wide set of operational experience will put us in a very strong position to deliver the high levels of safety the FAA will require to participate in this precertification program. We see the eIPP program pulling early demand for our aircraft forward. Taken alongside the demand we're also seeing from a range of international early adopters, it's clear we'll need to keep accelerating production if we are to keep up with the incredible demand we're seeing for our product. The level of production we are preparing for has never been seen in the aviation industry, and we're incredibly grateful to be working closely with Toyota as we plan and execute for scale. And we've already produced 15x more FAA conforming parts so far this year in Marina than we did in all of 2024. As well as growing in Marina and adding more than 100 manufacturing roles this past quarter, we've now begun production of propeller blades at our Dayton, Ohio facility. This is a great example of our approach to scaling, where we'll perfect manufacturing processes at home in California before scaling them alongside Toyota. Before I hand it over to Rodrigo to talk about our financials, I wanted to touch on my excitement for the future of Joby. Our core focus is and always has been the development of our core S4 platform. That's the aircraft you see flying every day. We've put a huge amount of work into designing it from the ground up, and we've built it in a vertically integrated way. As I've said many times before, this vertically integrated approach is our superpower. Because now that our platform is mature, we're able to move with incredible pace to adapt it to a wide range of use cases and technologies. Last year, we adopted it to fly with liquid hydrogen, completing a 561-mile flight with water as the only byproduct. I'm confident that hydrogen will play a very significant role in the future of aviation, supporting a wide range of new applications and aircraft types and the experience we've already built in this field puts Joby at the very forefront of innovation. This year, we announced we would work with L3Harris to develop a turbine electric variant for defense use cases. And I'm pleased to say just 3 months after that announcement, we're already ground testing this aircraft with the hybrid system in the loop, and flight testing is set to begin imminently. In fact, just yesterday, we had the FAA on site working with us to grant airworthiness for this vehicle. L3Harris has been a great partner on this journey, and we remain on track to demonstrate the full capabilities of this aircraft in the coming quarters and compete for some of the $9 billion the U.S. Department of War has requested for the acquisition of resilient, autonomous and hybrid aircraft in the FY '26 budget. Joby's approach to vertical integration puts us in a unique position to move from concept to demonstration and from demonstration to deployment at a pace that's almost unheard of in today's aerospace industry. And it demonstrates the value of dual-use technologies, allowing us to get new tools into the hands of America's troops as quickly and cost efficiently as possible against the rapidly evolving national defense landscape. That advantage also counts when it comes to autonomy. While our initial air taxi product will launch with a fully qualified commercial pilot on board, I believe, a future where we are able to take the pilot out of the loop is approaching more rapidly than I expected even 6 months ago. For decades, the principal barrier to commercial autonomy hasn't been technical or regulatory. It's been the way our commercial air traffic control system works. The current system still requires a human being on a radio to speak with another human being to deconflict airspace, file flight plans and confirm departures and arrivals. The current administration has indicated its intent to invest in modernizing this approach, making much needed investment in the infrastructure that controls our skies and laying the foundation for commercial air autonomy to take off much like the adoption of autonomous ground vehicles has. At Joby, we're making sure we're ready for that step when it happens. Over the summer, the team we brought on board from Xwing demonstrated our Superpilot AI technology stack as part of a landmark Department of War exercise over the Pacific Ocean. Using a conventional Cessna 208 aircraft, our team logged more than 7,000 miles of autonomous operations across more than 40 flight hours in and around Hawaii, managed primarily from Andersen Air Force Base in Guam, more than 3,000 miles away. Once again, illustrating our commitment to not just talking about innovation, but demonstrating it. The same technology is set to be supercharged by our recent announcement with NVIDIA. Joby will be the aviation launch partner for NVIDIA's IGX Thor platform, which uses their Blackwell Architecture to help ingest extraordinary amounts of data in real time to support an even more performance and safe autonomy stack for our aircraft. Integrating this level of compute will help us maximize the potential of autonomous flight. We'll be able to deliver autonomous mission management that enables the aircraft to determine, request and follow optimal flight plans while adapting to changes in weather, air traffic control instructions or unexpected events. It will also support onboard compute processes for high rate data from radar, LiDAR and vision sensors as well as supporting sensor fusion, combining data from a range of sensors to deliver reliable and accurate aircraft state estimation and situational awareness in the most challenging environments. It also establishes a foundation to develop features that enhance operational insight, reliability and performance, including predictive system, health monitoring and digital twin modeling. We'll be deploying Superpilot on the aircraft we're developing with L3Harris, allowing us to deliver to the government the same tech stack they've already seen successfully deployed on conventional planes. But this time, on a low altitude VTOL capable aircraft. The testing we complete on this defense-focused vehicle will also feed forward into a commercial AI autonomy stack that we plan to have ready and tested just as soon as the commercial air traffic control system is ready for it. The level of technological and regulatory progress we're seeing today is unprecedented, and it is matched by an incredible commitment to aerial innovation at both the state and federal level. We've positioned Joby to make the most of these opportunities, and I've never been more excited about the company and the technologies we're building. Rodrigo, over to you.
Rodrigo Brumana: Thank you, JoeBen, and good evening, everyone. During the third quarter of 2025, we made several important advancements further positioning Joby to create durable long-term value for our shareholders. When we spoke last quarter, I identified three areas of focus: implementing a disciplined capital strategy, scaling methodically and translating our technical and regulatory progress into long-term value. Let's talk about capital strategy first. At Joby, we are shaping a new industry in bringing an entirely new technology to market. This requires substantial efforts across engineering, regulation, partnerships, infrastructure and manufacturing. To achieve this, we are strengthening our balance sheet. At the end of the quarter, we had approximately $978 million in cash and short-term investments. In October, we added net proceeds of approximately $576 million further strengthening our position. This gives us the financial strength to continue to lead the industry and bring new innovations to markets across the globe. Next is the scaling. We are investing now to build capacity for global air taxi demand. We are methodically scaling manufacturing, and we are very fortunate to have Toyota with us on that journey. As JoeBen said, propeller blades are a critical component in the highest part count on our aircraft. We have started to leverage our Ohio facility to begin ramping our production of propeller blades. Ohio has the skilled labor, the supply chain network and the space to scale our production as we grow. Scaling also means preparing our global operations. Following our acquisition of Blade, we are already running a network of high-frequency routes in New York and Europe, connecting major airports like JFK in prime locations like Nice to Monaco and Manhattan to the Hamptons. These routes are the blueprint for electrified air taxi service, proving the model today, so we can transition seamlessly once our aircraft is certified. At the same time, in addition to our successful flight demonstrations in Japan with ANA, we also expanded our global partnership with Uber to include Blade services. This opens up a powerful opportunity over time to connect thousands of daily Uber users with the experience of vertical lift well ahead of Joby's commercial launch. Meanwhile, in Montreal, we formally accepted our first flight simulator developed in conjunction with CAE, a global leader in pilot training systems. This fully immersive simulator is a prerequisite for commercial pilot training and marks an important milestone in preparing Joby for scaled operations. These efforts are building the foundation for our global network, beginning with Dubai next year and expanding to new markets around the world, turning our regulatory commercial and technical progress into long-term value. Now I'll present our Q3 financial results in more detail. We ended the third quarter of 2025 with cash and short-term investments, totaling $978 million. During the quarter, we raised $101 million through our ATM facility and an additional $33 million from warrants that were exercised. As I said earlier, after the quarter ended, we received net proceeds of $576 million through an equity offering, further increasing our cash reserves. Our Q3 use of cash, cash equivalents and short-term investments totaled $147 million, $35 million higher than last quarter. That was primarily due to an extra payroll run in Q3 versus Q2, growth in operating expenses, working capital changes and onetime costs related to our Blade acquisition, which accounted for $6 million. This spending also included about $30 million on property and equipment, up $1 million from last quarter. We remain on track to hit the upper end of our full year 2025 guidance of $500 million to $540 million in use of cash, cash equivalents, in short-term investments, and that includes the impact of our Blade acquisition. On a GAAP basis, we reported a Q3 net loss of $401 million, $77 million increase from Q2, largely driven by $262 million in noncash items, of which $229 million was a noncash charge related to warrants and earn-out revaluation. The remaining noncash items were related to stock-based compensation, depreciation and amortization, all within the normal ranges. The large noncash revaluation charge related to warrants in earn-out shares was due to the increase in our share price, which negatively impacts the calculation and gets updated every single quarter. Revenue for the quarter was $23 million, including $14 million in revenue from Blade from August 29 through September 30, and $9 million from other revenue, which includes the completion of all required deliverables as part of our Agility Prime defense contract as well as other engineering services. We do not expect Agility Prime revenue to continue as the work has been completed. Total operating expenses for the quarter, including about 1 month of late were $204 million, up about $36 million from the prior quarter. The increase was largely driven by the inclusion of Blade operating expenses and acquisition-related costs, coupled with higher staffing and program spend to support key milestones, including progress on the final assembly of our first TIA aircraft. Adjusted EBITDA, a non-GAAP metric that we reconcile to our net income in our shareholder letter was a loss of $133 million in the third quarter. This was just about $1 million higher than the prior quarter, reflecting the revenue booked in Q3, offset by the increase in spending I called out before. Compared to the same period last year, our adjusted EBITDA loss was $12 million higher, driven by the growth in our team to support aircraft design, manufacturing and certification along with early commercialization investments. As we look ahead, our focus remains on disciplined execution, advancing certification, scaling production and preparing for commercial launch. With a robust balance sheet, proven technology, mature program, flying aircraft and world-class partners, we are operating from a position of strength. We look forward to many folks at the Dubai Airshow in 2 weeks where our aircraft has been cleared by both, the General Civil Aviation Authority and the Dubai Civil Aviation Authority to fly full transition every single day. Thank you for your continued support. And operator, please open the call for questions.
Operator: [Operator Instructions] Our first question today is coming from Kristine Liwag from Morgan Stanley.
Kristine Liwag: I just wanted to follow up on your progress with your international partners. I was wondering with the early adopters, are you planning to provide commercial service with the Joby aircraft prior to getting FAA certification? Or are you waiting for FAA certification to start flying globally?
JoeBen Bevirt: Kristine, this is JoeBen. Great to speak to you. We -- I assume you're speaking about Dubai in terms of the international partner, we will -- we're making incredible progress in Dubai. We have aircraft that's there and flying right now. And as Rodrigo mentioned in the prepared remarks, we have permission from the GCAA and the Dubai Civil Aviation Authority to be conducting daily flights at the Dubai Airshow. So that's incredibly exciting. And I think what you're going to expect to see over the course of 2026 is more and more flying there as we deploy more takeoff and landing locations. And we're seeing incredible momentum and amazing support from the local regulators. So in short, the answer to your question is, yes, we continue to expect to be operational in Dubai prior to FAA Type Certification.
Kristine Liwag: I see. Great. And for a follow-up, you guys highlighted your progress on autonomous systems with Superpilot, which sounds really interesting. So is this going to be a software that's also going to be added to the Joby aircraft? And because from my understanding, the Joby aircraft initially would be VFR. So are you adding the IFR capabilities with autonomous systems? Or are you also going to add an expansion to IFR before going to full autonomous, like can you please help me understand the bridging there?
JoeBen Bevirt: Yes. So thank you so much. This is a huge -- a bunch of -- huge accomplishments on the autonomy front and something that we're really, really excited about. The first, just to reiterate, the Superpilot, the Xwing team took Superpilot-enabled Cessna 208 and flew it 7,000 miles around the Pacific as part of the REFORPAC exercise earlier this year. That demonstrates the operational maturity. We operated that aircraft in a whole bunch of different classes of airspace. And really showcased how robust that autonomy platform is. As it comes -- when it comes to taking that autonomy platform and putting it into the S4 platform, that's going to be something that we will do progressively. It's a very step-by-step approach that we're taking. But we do think that it's going to have really significant benefits when it comes to -- on both the safety side and the operational efficiency side. So we're really excited about that. And we think that, that is built on the foundation of these changes that are -- we're expecting in the air traffic control framework, as I talked about in my prepared remarks. So we're really, really pleased with both the regulatory side of things and the technical side of things, also thrilled to be working closely with NVIDIA and bringing the phenomenal compute capabilities that they've developed to aviation. And yes, thrilled across all the different dimensions on the autonomy progress.
Operator: Our next question today is coming from Austin Moeller from Canaccord Genuity.
Austin Moeller: As part of the eIPP, are there any avenues for you to generate revenue in any way in that test phase with those aircraft? And as a second part, could you generate revenue from flying aircraft in a JV partnership overseas during this test phase?
Paul Sciarra: Austin, this is Paul. So with respect to eIPP, this is kind of what's going on and sort of how we think it's going to play out. So right now, we have a number of different applications that we are close to that are in the process of getting filed with the Department of Transportation. Those are going to get filed basically through the end of the year. In the early part of next year, they will then down select to 5 with those starting, we think, in the middle of next year. Now look, this is a really exciting opportunity for us because it allows us to put aircraft into operation here in the U.S., I think on a far faster time scale at scale, then we might have thought. And it's really one of the things that's driving the focus that JB mentioned in the prepared remarks around scaling production to now meet this kind of faster demand than we were expecting. When we've -- based on what we know now, the application set is pretty broad. A number of them include passenger transport, cargo transport, medevac and certain of them, we think are going to have an opportunity to have a sort of commercial bent. So without having 100% confidence at this point, but we do think there are going to be interesting revenue-generating opportunities that come out of the eIPP program. Regarding your question with respect to JVs, I think the revenue that you may see from those sorts of partnerships would be preorders and/or prepayments for aircraft that were going into those JVs. We announced, obviously, the partnership with ANA in Japan. That is one that could sort of look like that. But I think the real question now is ensuring that we're able to build enough aircraft to meet this broader, faster demand that we saw. So that's why manufacturing is sort of the focus.
Austin Moeller: Okay. And just a follow-up. Are you going to be able to fly the conforming aircraft in TIA testing as long as the means of compliance remains at 97%? Or does it not matter for proceeding with flight testing in that space?
JoeBen Bevirt: Yes. Thanks, Austin. So just to be really, really clear here, we are so excited about the progress we're making on building these aircraft for TIA testing. This is the culmination of all the work that we've been doing over more than a decade, and it builds on an incredible foundation of work from both Joby and from the FAA. And as I spoke about, this is heavy lifting from FAA DERs, FAA DARs to ensure that as each of these aircraft is getting built that they're getting built in a really meticulous way. So this is a huge moment to be beginning the power-on testing of this aircraft. I will also add that we are building a total of 5 aircraft for TIA testing. And all 5 of those are in the production process as we speak. So the momentum we're seeing on manufacturing and scaling manufacturing is really fantastic. The reason this is so important is these are the aircraft that FAA pilots will get in and fly for credit, and that is the -- those are the final stages of our TC process, like we're doing the heavy lifting. We're doing the work that's required to get us through TC and it's happening right now. So just can't tell you how proud I am in the manufacturing team, how proud I am of the certification team, how grateful I am to the FAA and their lean in, they're working shoulder to shoulder with us. They were here yesterday, giving us airworthiness -- moving through the airworthiness process on the hybrid aircraft, and they're not getting paid, right? So the commitment, the lean in, the passion from these aviation professionals is just really unprecedented, and we can't say how grateful we are to all of them.
Operator: [Operator Instructions] Our next question is coming from Andres Sheppard from Cantor Fitzgerald.
Andres Sheppard-Slinger: Congratulations on the quarter. JoeBen, I wanted to maybe go back to the first question just around commercialization. So it sounds like we're still targeting commercialization ahead of FAA certification in the Middle East. Are we able to get more clarity on kind of how you see that unfolding or just in terms of timing or number of aircraft. I think in the past, you had mentioned passenger flights potentially by the spring. So just wondering, is that time line for next year? Is that still on track? Or do we perhaps see maybe pushing into the right slightly?
JoeBen Bevirt: Thank you, Andres. Great to catch up with you. So the progress we're seeing and the momentum, as I mentioned, in Dubai, was really fantastic, both with the GCAA, with the Dubai Civil Aviation Authority, with the RTA. We've got all the regulators leaned in. Skyports is doing a phenomenal job on moving forward with infrastructure. We have a team there, and we're building out that team, staffing that team, doing the training and putting all the pieces in place, and I'm really excited and grateful for the progress that we're making day in and day out. In terms of -- we expect to be ramping that operation through the course of this next year. I think the real critical bottleneck is going to be -- and the demand you asked about is very, very substantial there. The bottleneck is going to be how fast we can ramp manufacturing, as Paul was talking about, to meet that demand. And this is where I'm so proud of the team and the progress we're making on scaling production and scaling it alongside Toyota, whether that's in Marina, whether that is the progress we're making in Dayton on Blades. And I think this is the real central pillar of the work that we have in front of us is to scale the manufacturing as aggressively as we can, and we're making great progress.
Andres Sheppard-Slinger: Got it. Okay. And I guess maybe a follow-up for Rodrigo. Are you able to maybe help us understand like how should we think about Blades revenues for Q4 and for the -- I guess, throughout next year? I mean is $22 million in quarterly revenue and 55% gross margin, is that the norm or what's the best way to think about that for maybe next quarter and throughout next year?
Rodrigo Brumana: Andres, thanks for the question, Rodrigo here. Well, we are not providing any guidance specific for next quarter or next year. However, we would like to point you to what has been said publicly and Blade had a number right before the acquisition on August 29. So essentially, we are not deviating from it. Number two, let's just remind you that Q4 is when the low season starts. So Q4 is one of the slowest quarter there, and we are happy to have Rob here just to add a little more context here, Rob?
Robert S. Wiesenthal: Andres, it's Rob Wiesenthal, speaking. It's been -- performance has been pretty good this summer as you've probably been reading. But I think what's also important to announce is kind of the expansion opportunities that we've taken advantage of. Shortly before this call, we announced a pilot program for our very first commuter route to the public, serving New York suburbanites, who live in Westchester, Bedford, Rye, Scarsdale, Greenwich with flights that go between Westchester Airport in Manhattan that turns a 1.5-hour drive during rush hour into a 12-minute flight. You can fly with the Commuter Pass for as little as $125. That will be a 5-day a week service. It's actually our very first public commuter route. And that's important because the industry has been very much focused on airport flights, which is clearly an important use case. We've been doing it for over 6 years, but it was really time for us to kind of expand our service offerings to include commuter routes. And once the Joby aircraft is certified, we expect new landing zones to be approved and activated, which will offer even more convenience to people who work in big cities. And we're going to see more of this in the future. We already have pods of communities like in Deal, New Jersey on the Jersey Shore where people fly to work there and back every morning, that's a 2-hour drive that comes a 15-minute flight. So we're very excited about the prospects of expansion under Joby's ownership and things are off to a great start.
Operator: Next question today is coming from Savi Syth from Raymond James.
Savanthi Syth: Just a follow-up on one of Austin's questions earlier, just around certification and the shutdown as well. Just the flight that you are -- aircraft that you're building and doing ground testing right now, is that the one that would be flying? Do the propellers kind of get added back? And then what exactly can you do with that aircraft in TIA testing while the government just shut down? It sounds like, as you pointed out, FAA is coming in and doing certain things, but I was curious what you can and cannot achieve during this time?
Paul Sciarra: Savi, this is Paul. So thus far, we've got an incredible lean-in from the FAA even during the shutdown. That included, as JB mentioned, I think, in the prepared remarks, having their FAA airworthiness folks here on site to do the checkout for the hybrid version of the aircraft. That's actually still ongoing today. And these are folks that are showing up without getting paid. So we're really obviously sort of grateful for their work on this, in this sort of difficult period. When it comes to the progression of the TIA aircraft, look, we're going to be doing the power-on checkout, progressing then to Joby piloted flights and then moving from there to FAA highlighted flight testing for credit on that vehicle. Right now, we don't necessarily anticipate that the FAA flight test pilot portion of that testing is going to be delayed by the shutdown, but this is obviously still a very much evolving process. And we have been very pleased with the lean that we've gotten. But like if this shutdown persists longer and longer, there's certainly some uncertainty on how that's going to play out. But from the Joby standpoint, we just want to make sure that we're ready, ready with the right aircraft, ready with the training for those pilots and then ready to begin the FAA flight testing just as soon as we can.
Savanthi Syth: That's very helpful, Paul. And maybe if I can just follow up on that then. I think the rule of thumb is once you start TIA flight testing, it's about 1 year, 1.5 years from there to full certification. Just how much of that happens with kind of the Joby pilot, which versus kind of when do the FAA pilots going to step in and do that part of the testing?
Paul Sciarra: So this is Paul, I guess I'll pick that off. Look, the timing of the TIA flight test portion is sort of variable depending on the program. And we've obviously got a plan that we're sort of working with FAA that includes 5 different aircraft that are going to be flown in various levels of parallelization to try to speed that process up as quickly as we can. As JB mentioned, all 5 of those aircraft are in some part of production at this moment. And obviously, the first one of those is sort of in this power-on stage as we get ready for its first flights. With respect to how much time is spent with the Joby pilots versus the FAA pilots. As a general rule, we want to make sure that we are doing the things that we need to do for FAA for credit flight testing internally before we do them with FAA pilots in seat. Much of that work has already been done on other versions of these aircraft. So it's really about making sure that we have those TIA aircraft ready at the right time. And in turn, we line that up with the availability of the FAA flight testing pilots. And that's going to be the sort of synchronization that we have to manage, starting basically now.
Operator: Our next question today is coming from Bill Peterson from JPMorgan Chase & Company.
Mahima Kakani: This is Mahima on for Bill. I was curious, how should we think about the pace at which you'll move across the Stage 5 certification progress bar once TIA testing starts? And should we really start to see that acceleration beginning next year as soon as you get the FAA pilots on board?
JoeBen Bevirt: Thanks, Mahima. So we're really excited to get into TIA, as Paul talked about. The other element and a key piece to be cognizant of is the way we built our reporting on Stage 5 is that we will get points on the board when we submit those test results. So there's a huge amount of work that's happening on the Joby side as we take the approved test plan and we build the part that is going to get tested or the aircraft is going to get tested and then we run the testing on it. And then we write the test report. We submit that and then we get credit on Stage 5. So it may be that a lot of the progress that happens on Stage 5 is when we're very, very close to the finish line. I think the important thing is that in addition to making incredible progress on manufacturing of the 5 TIA aircraft, the team is also making incredible progress on the manufacturing of the test articles, and those test articles are very challenging from a manufacturing standpoint because each one of them is different from a production part. It has intentional changes that are -- that we're putting into those parts that have been specified by the FAA DERs. And so this is really fantastic work by the manufacturing team, and we're making incredible progress on it, which puts us in a great position, both for the TIA flight test, but also in terms of completing all of the component level testing required to complete Stage 5.
Mahima Kakani: That's really helpful context. Maybe as a follow-up. You started manufacturing propeller blades in Dayton, but are there any other conforming parts you expect to also transition to Dayton in the near term? And then how quickly could you ramp up that capacity you'll need to support certification efforts?
JoeBen Bevirt: Yes. Thank you. So really thrilled with the team in Dayton and the quality of workforce that we've been able to build there and the speed at which we've been able to onboard those folks and have them contributing in a huge way. We were also thrilled with the support that we've received from the state and local government in Dayton. And we see massive opportunities to continue to expand our footprint, both in our existing facility and as we look forward in the Dayton region more generally. In addition, and again, following the model that I spoke about, where we perfect the process here at our pilot facility in California, and then we're able to scale it alongside our partners with Toyota -- our partnership with Toyota, I would love to just highlight how vitally important Toyota is and how strong relationship that we have with Toyota right now. We have never been closer to Toyota. Toyota has never been more leaned in. And we think that they are an unparalleled partner for us as we look to take aviation to a scale that has never been seen before.
Operator: [Operator Instructions] Our next question is coming from Edison Yu from Deutsche Bank.
Xin Yu: I wanted to ask about the hybrid for defense. How should we think about the design? Is that something you just kind of put an engine on the existing airframe? Do you need to redo the airframe? Is the supply chain going to get more complicated? Just how to think about the process and design for the hybrid?
Paul Sciarra: Thanks, Edison. This is Paul. So look, our approach is really in line with the sort of principles of dual use. Where possible, we want to take full advantage of the proven airframe that we have developed and tested over the last 5, 6 years. And we also want to be able to take advantage of the manufacturing lines that we already have ready to produce those components down the line. So I think the right way to think about that aircraft is a sort of variant of the existing vehicle that is then in turn missionized for different customer use cases. What I think is really exciting, though, is that we've been able to move from concept to soon sort of demonstration of that vehicle at a very rapid pace, basically sort of 3 months from when we announced the L3 partnership to the preparations for flight testing that are happening right now. In turn, we think we're going to be able to move from demonstration to flexible deployment with those customers very quickly because we've got a manufacturing line that we do not have to scale up or retool where most of the components are essentially the same manufacturing line that we're using for the broader sort of commercial vehicle. And that speed is something that in our conversations to date, the customers are really looking for. They are not so happy with the sort of traditional procurement process, long spec writing, competitions and then sort of moving to these sort of restrictive contracts. They are instead looking for things that get new technology into the hands of warfighters far more quickly. And we think we've got an opportunity with this platform in conjunction with L3 to deliver exactly that.
Operator: Our next question is coming from Chris Pierce from Needham & Company.
Christopher Pierce: I was just curious, and if you fast forward a year from now, like what's the best possible outcome for the Blade transaction? Is it just more passenger throughput in New York? Or what Rob talked about? Is it adding routes so you can see kind of customer demand to get through to consider air taxi at a higher rate? Like if you fast forward a year, what would you consider to make a success out of this to get people enthusiastic about air taxi in the business?
Robert S. Wiesenthal: It's Rob Wiesenthal. I think if you step back and you look at the thesis of the acquisition, it was to derisk and accelerate the deployment of the Joby aircraft into commercial service. So we're going to continue working on projects where we can achieve profitable growth in new routes, expansion of existing schedules. We recently expanded our JFK schedule to include another note on the East side and also deepened our Newark efforts. And in Europe, we have been focusing there as well on opportunities. So I think the focus on profitable growth to continue getting more data, acquiring more customers, getting more infrastructure access. And I think that's going to be terrific. That's really going to educate us and help us deploy these aircraft once they're certified and to do it in a way and at a speed that I don't think the competition can match. It's a real head start versus the competition in every market Joby wants to enter.
Operator: Next question is coming from Amit Dayal from H.C. Wainwright.
Amit Dayal: Just with respect to all the comments on the call today, keeping in mind where we are with manufacturing readiness and all of the testing going on. What is the earliest we can take advantage of this eIPP initiative? Is 2027 a reasonable time frame? Or could it be potentially earlier than that where some of these aircraft get into operation?
Paul Sciarra: Amit, this is Paul. I'll try to pick that up. I'm not sure I totally heard it, so I'm going to sort of repeat what I understood the question to be. So your question was when do we think we can start first operations under eIPP? And the answer to that is that we now have with the eIPP program once the down select happens early next year, we've got a date certain for the start of those operations, and that's essentially mid next year. That is a really exciting opportunity and one that I think Joby is sort of uniquely positioned to take advantage of. Our understanding under eIPP is that it's going to require aircraft to be at a high level of maturity. Our understanding is that means it has to be in the TIA process. It's also going to require the operational know-how to put those aircraft into service in the real world. We already have a lot of that from the demo flights that we've done, and we get to really supercharge that with Rob's team at Blade that obviously knows a lot about high tempo vertical takeoff and landing operations already. But finally, you also need to make sure that we have the aircraft. So part of the focus now around scaling production is to meet this demand that is now higher next year than I think we were initially anticipating. So our focus with both the expansion of the Marina facility, the continued rollout into Dayton and obviously, doing both of those things in close conjunction with Toyota is to make sure that we really ramp production to meet this opportunity, because from our perspective, an opportunity to get these aircraft operating in the U.S. as quickly as possible, benefits Joby, and it certainly benefits the broader industry, and we think we're in pole position to kind of make that happen.
Teresa Thuruthiyil: Terrific. This is Teresa again. Thank you, Amit, and Kevin, and thanks to all the analysts for your questions today. This quarter, we're doing something a little different. We also invited our broader community to submit questions on X and Reddit. We were thrilled with the volume and the thoughtfulness of the engagement. We selected a few representative questions to ask and answer now. First, what actually is coming right back to you, Paul, it says, when do you expect to start the integration of autonomous capabilities into S4?
Paul Sciarra: Thanks, Teresa. So as JB mentioned in the prepared remarks, the first instantiation on a Joby developed aircraft of autonomy is very likely to be the hybrid aircraft that I mentioned earlier on in the call. This is one that's obviously focused on defense applications. We think that's a perfect test bed for the stock, one, because it's already been well tested with its customer on conventional aircraft; and two, because there's not the same sort of regulatory rigor around certification for these sorts of platforms. So it's the right place to begin to extend the existing Superpilot capabilities to low altitude VTOL capable to prove that out as soon as we can and in a wide range of mission sets, so that we're ready if and when there is an opportunity to translate that to the commercial side of things to move very, very quickly. So long and short, that's going to be, I think, the first example of how we begin to roll this out on a Joby developed aircraft.
Teresa Thuruthiyil: Terrific. Thank you. Another question also coming in from X. How do you see the future product offerings as both Joby and Blade actively scale operations, particularly in Dubai? Rob, would you like to start with on that one?
Robert S. Wiesenthal: Sure. Let me take that. Just as we mentioned before, Blade helps to derisk and accelerate the deployment of Joby aircraft into commercial service, and that includes Dubai. So the knowledge we have on the routes, on infrastructure, the flyer base, we are not starting cold, we're not starting from scratch. Anybody else tries to do this, they're starting with zero knowledge. We have flown hundreds of thousands of people over the past decade. And then if you take a look at our European operations, 1/3 of our European flyers are from the Middle East. So it's a brand that's well known there. The Middle East consumer consistently embrace premium brands from the West that provide exceptional experiences that have trust. So I think we're in terrific shape to help get that launch out and in front of the public and have something that people really enjoy and find us extremely reliable.
Teresa Thuruthiyil: Terrific. Thank you. Okay. I think we could maybe get one more in. And there's -- this one is a fun one. It asks for how about something fun. Five years into passenger flight, what kind of crazy things can you see Joby involved in that will blow our minds now? JoeBen?
JoeBen Bevirt: Thanks, Teresa. So I think the key thing to focus on is that vertical integration is Joby superpower. This is something that we have invested in heavily for many years, and it puts us in an incredible position to be able to develop game-changing aircraft, all built on the foundation of the incredible technology foundation stack that we've built. I'll add two other dimensions. One we've talked about, which is autonomy. Autonomy is going to unleash many new and exciting applications for aviation. And by leading the world in aviation autonomy, we think we're in a really strong position. The final dimension is hydrogen. Hydrogen, as I think many of you have heard me speak about, it has 3x the specific energy of jet fuel. With fuel cells, we're able to convert the chemical energy and hydrogen into propulsion twice as efficiently as a small turbine can convert jet fuel into propulsion. And what that means is that you can build aircraft with game-changing new capabilities. And so as we look to the 5-year horizon, we think the future for Joby and the future for the technology stack that we're building has never been more promising, and I'm so excited to bring these transformations to the world.
Teresa Thuruthiyil: Awesome. Thank you, everyone, for joining us today. We greatly appreciate your support.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation.